Operator: Welcome to the W.R. Berkley Corporation's First Quarter 2016 Earnings Conference Call. Today's conference is being recorded. The speakers' remarks may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words, including, without limitation, believes, expects or estimates. We caution you that such forward-looking statements should not be regarded as a representation by us that the future plans, estimates or expectations contemplated by us will in fact be achieved. Please refer to our annual report on form 10-K for the year ended December 31, 2015 and our other filings made with the SEC for a description of the business environment in which we operate and the important factors that may materially affect our results. W.R. Berkley Corporation is not under any obligation and expressly disclaims any such obligation, to update or alter its forward-looking statements whether as a result of new information, future events or otherwise. I would now like to turn the call over to Mr. Robert Berkley, President and Chief Executive Officer. Please go ahead, sir.
Robert Berkley: Okay, thank you, Bridget and good afternoon everyone and again welcome to our first quarter call. So on this end of the phone I am joined by our executive Chairman Bill Berkley, as well as our Executive Vice President and Chief Financial Officer Gene Ballard. The game plan for the call today is - I'm going to start off by offering a few comments on the marketplace, a couple of sound bites on how I see we see the quarter. And then Gene's going to be running through the numbers with you all and then the three of us will be available to address any questions that you may have. So with regards to the market, by and large the natural continuation of what we saw in the second half of last year. The insurance marketplace continues to become incrementally more competitive while the reinsurance marketplace seems to be coming gradually a little less intensely competitive, though that is a very incremental change. Having said this, while it may seem as somewhat business as usual, there are a couple of events that are worth noting, that from our perspective could impact the marketplace and not in an immaterial way. First of all, I think at this stage everyone is reasonably familiar with the recent cat activity that not only went on during the first quarter that was certainly setting up the second quarter for a material series of cat losses, as well for the industry. Second of all, something we touched on last quarter, there is a fair amount of dislocation in the marketplace that is stemming from the degree of reorganization as well as M&A activity and I think we've been talking about this again for a couple of quarters at this stage and we're starting to see it really materialize in a distraction for some and an opportunity for others. And then finally, we're seeing a bit of a change in the reinsurance marketplace and if there was ever a part of the industry that deserved a break, it was probably the reinsurance market these days. And that is, a few years ago we started to see a change in buying habits of some of the largest purchasers of reinsurance. Ultimately they ended up increasing their intentions and reduced the amount of reinsurance they bought in a pretty dramatic way. Loss activity has come through and as a result of that it would seem as though they are yet again changing their habits and they are reentering the marketplace as customers. So again, I don't think that that is a silver bullet for the reinsurance market, but may be helpful in the balance between a supply and demand. One other comment in the broad sense about the marketplace and again something I mentioned last quarter and it has to do with the balance of the relationship or perhaps the tension at this stage between distribution and carriers. Something that we've been paying attention to and have been actually taking notice of for some time - there seems to be a growing level of tension between carriers and distribution. And ultimately we're concerned that this is actually going to become more and more pressurized as the insurance marketplace becomes more competitive and pricing potentially gradually erodes. Moving on, to the Company and its performance during the quarter and I'm going to keep my comments brief, otherwise my colleague Gene gets quite cross with me. So from our perspective, pretty solid quarter, good way to start out the year. The growth coming in at about six points, of that about one point was associated with rates. Certainly growth is something we pay a lot of attention to, we want to make sure we understand it, we want to make sure that is well-controlled. And I'll share with you a couple of high level metrics that we look at to make sure we have our head around the situation. So for starters, we have a look at our renewal-retention ratio which has consistently been around 80% and it remains at that level. And another metric that we look at is - we try and make sure we understand the pricing or the rate that we're charging for new business and we compare that rate for our new business to what we would be getting on a renewal business. And to make a long story short, we're charging an incremental premium above -- or an incremental additional premium for new business when compared to the renewal business. Giving us a degree of comfort that the integrity of the book is remaining intact and we're not buying business or burning our way into the market in any way, shape or form. I know we've talked a bit about how the market is becoming more challenging. From our perspective, there are still a number of opportunities out there and we think our structure lends itself for us to be able to be a bit more nimble - to use a bit of a scalpel or a laser as opposed to a cleaver. So what Gene is going to be talking about where we've grown, but having -- and he may speak to it in somewhat of a broad sense, but I would recommend or remind you that the growth is really in a very granular level, where its operating unit by operating unit in particular divisions. And for that matter, there are some parts of our business that have grown dramatically and there's certainly plenty of parts of our business that actually are shrinking. With regard to the loss ratio, 60:4, in line with our expectations. Certainly, we did have some storm activity, but again, not anything extraordinary or beyond what we would have expected for the time of the year. Cat activity certainly can exist in the first quarter and has historically for us, but it's not an overwhelming number. Part of it goes to perhaps a little bit of luck, but I think by and large, us not having a larger or more outsized loss stemming from cat activity in the first quarter has more to do with our strategy around how we manage cat and how we think about volatility and make sure that we're getting paid appropriately for it. Expense ratio to 33:1 may on the surface appear to some as though we took a bit of a step backwards compared to the first quarter of 2015. Having said that, if you normalize that number again -- Gene will be sharing some numbers with you shortly. I think it's actually very much in line and it is certainly an improvement from what was on the second half of 2015. The reserves continue to develop to the positive, yet I think we're up to something along the lines of quarter number 37 of net-positive development at this stage. Having said that, it's really just a reflection of the approach that we take to setting reserves. Our view is that we want to err, if we're going to err, on the side of caution with the initial pick and as those reserves season out and we have more information we will tighten up those picks. Couple other comments on the investment front - certainly kudos to our colleagues that are managing the investment portfolio. Our yield at the end of the quarter, compared to the end of the -- rather, I'm sorry, our duration at the end of the quarter compared to the end of the year had shortened up a bit from 3.3 to 3.1 while they were able to maintain the same level of yield, as well as the same quality. And then finally, a couple of comments and you may have picked this up and our K, that we filed recently, we started in six new operations during 2015 and we've announced one new operation, that perhaps for some, was particularly noteworthy this year and that is organizing and planning to enter a particular niche within the personal line space. When we first made the announcement, we got a few questions around - why would you be going into the personal line space? Ultimately our view is that this piece of the personal line space is no different than, quite frankly, much of our overall strategic plan. And that is to focus on specialty products, specialty lines, where ultimately its knowledge and expertise which is how one differentiates themselves and ultimately focusing on a customer base and a distribution where they are willing to pay for the service and expertise. So I'm going to pause there and I'm going to hand it over to Gene and again, our Chairman and myself will be available to join Gene for any Q&A once he's done. Thank you.
Gene Ballard: Thank you, Rob. Well, as Rob said, we started the year with another solid quarter with operating income up 8% to $115 million and operating income per share up over 11% to $0.89. The improvement over a year ago was attributable to a 12% increase in underwriting profit, a 5% increase in investment income and a 3% decrease in the average number of shares outstanding. Before I go through the numbers, I want to mention you'll see on page 5 of the earnings release that we have combined the domestic and international businesses into one financial reporting segment. Background of that is that when we established those segments a few years ago, the domestic segment wrote essentially all of its business in the U.S. and the international segment wrote nearly all of the business outside of the U.S.. But since then our profile is very different. It's very different today. Now our largest international company which is our Lloyd's syndicate, for them the majority of their risks are actually located in the U.S. and for 11 of our U.S. profit centers, that are now insuring risk outside the U.S., in 2016 - and we expect that to grow significantly in future years - so that the distinction between the two segments was becoming less meaningful and we decided to put them together. We've posted a schedule on our website that presents the five-year historical underwriting results for the new insurance segment. Okay, going back to the release then, overall our net premiums written increased by 5.6% to almost $1.7 billion. For the insurance segment, premiums increased 4.5% to almost $1.5 billion. The growth was led by a 21% increase in workers' compensation business, with significant increases from both our mono-line work comp company as well as our specialty businesses. Professional liability lines were up 8.5% and property and other short tail lines were up 1.5%. On the other hand, commercial auto -- for commercial auto, premiums were down 7% as we continued to emphasize higher rates and other liability business was down 5%. For the reinsurance segment, the premiums increased 16% to $175 million with strong growth in the U.S. [indiscernible] business and that's primarily due to growth in structured property reinsurance. I mentioned these before - these are structured businesses that has very limited cat exposure and carries a lower than average loss ratio that is partially offset by higher profit commissions. Our overall underwriting profits increased 12% to $100 million and a combined ratio improved by four tenths of a point to 93.5. Our current accident year loss ratio before cat activity, was 60.2%, down almost one point from a year ago. Catastrophe related losses were $16 million. That represents one loss ratio point and is right in line with cat loss ratios for the first -- for both first quarters of both 2014 and 2015. Loss reserves developed favorably by $12 million, with nearly all the improvement in the insurance segment and as Rob said, that's now our 37th consecutive quarter with positive development. That gives us a calendar year loss ratio of 60.4, down 8 tenths of a point from a year ago. Our overall expense ratio for the first quarter was 33.1, compared to 32.7 in the first quarter of 2015. The insurance segment expense ratio was 32.5, that's up a 10th of a point from the first quarter 2015 but slightly below the run rate for the last three quarters of 2015. And 2016 first quarter expense ratio includes 3 tenths of a point that are directly related to the six business initiatives that Rob referred to. So if you normalize the expense ratio for those investments, the ratio for the first quarter actually declined compared to the prior year by 2 tenths of a point. The reinsurance segment expense ratio increased almost 2.5 percentage points to 32 -- 38.2 - that increase was due primarily to the growth in the structured property business that I mentioned earlier, as well as to slightly lower overall earned premium volume for the segment. Investment income was up $6 million or 5%, to $130 million, three main components to that first income from fixed-income securities was up $1 million to $109 million with an annualized yield of 3.3% which is unchanged from the first quarter and the full year of 2015. Earnings from investment funds were up $10 million to $17 million, due primarily to improved results for energy funds. That gave the investment funds an annualized yield of five point -- 5.5% for the quarter which is in line with our target for investment funds. The third item, income from all other investments declined by $6 million, due to above-average returns for the merger arbitrage account in the first quarter of 2015. At March 31, 2016, unrelated investment gains were $258 million - that's up $77 million from the beginning of the year. The average rating was unchanged at a double A- and as Rob mentioned, we shortened the portfolio from 3.3 years in December 2015 to 3.1 years at March 31, 2016. The overall tax rate was 31.1 which is unchanged from the overall tax rate for the full year of 2015. That gives us net income of $115 million and overall return on equity of 10.4% and for comparison purposes, a pretax return on equity of 15.2%. Also during the quarter, we repurchased 734,000 shares of our own common stock for $37 million and for the first three months of the year, our book value per share increased $1.44 which is an increase of 15.4% on an annualized basis. Thank you.
Robert Berkley: Thank you, Gene. Okay, Bridget if we could open it up for questions.
Operator: [Operator Instructions]. Our first question is from Michael Nannizzi with Goldman Sachs. Your line is open.
Michael Nannizzi: Rob, one question on the reinsurance business, what drove the lift in premium there first time we have seen double digit increases in reinsurance for some time now so I'm just curious is that something that you expect will continue and is reflective of opportunities you see in the market?
Robert Berkley: That I think that it's unclear as to what exactly tomorrow will bring Mike. As far as a growth or the spike that you saw in the quarter as far as the reinsurance, that really came from this a couple of unique opportunities as Gene had suggested earlier on the property front where we entered some structured deals that we think are particularly attractive. But ultimately, it's unclear as to what the opportunity will be from the reinsurance marketplace as I suggested earlier, as we will have to see what the impact is of some of these historically very large buyers having exited in the past and they are entering and so no I don't think you should necessarily send this is the new run rate. We're an opportunistic participant, if we think that we can make it reasonable return we're prepared to participate, but this was I think somewhat of a one-off unique opportunity.
Michael Nannizzi: Okay and then can you give us -- thanks for that and then a little bit more on the merger or maybe Gene, just trying to square everything up here, can you tell us what you earned there in that?
Gene Ballard: Yes it was a positive earnings, it was about 3 million for the quarter.
Michael Nannizzi: About 3 million for the quarter. Okay. Got it. And then any impact from market movements in -- how you guys you are -- current quarter marks on your private equity is that right so like your any marks--
Robert Berkley: Our private equity is carried to the -- there's some private equity investments where we're the vast majority owner. We own the vast majority of it we carry the equity basis of accounting therefore, the only increase we show is our portion of share of the earnings of the enterprise. Those private equity investments which is very small where we're just an investor, we mark to market. So [indiscernible] equity would be an example where we don't mark to market, we carry it at cost which is sort of give or take $25 million and whatever our program share of the earnings are is what we gain from it
Michael Nannizzi: And then so when you called out that statement upfront where you talked about 100 million or more of annual gains. So in that are you sort of including some proportion or some piece of the health equity unrealized gains or unaccounted for gains?
Robert Berkley: Michael, we own a large amount of invest -- real estate for investment purposes. We own health equity as well as a number of other private equity investments and I tried to give because analyst like to have models I've tried to give them a number that they could plug-in. I didn't rely upon any one thing or another. What I said is if you put in 25 million a quarter or 100 million for the year, that would be sort of a reasonable number to assume and while both our lawyers and accountants weren't happy with me giving a number I felt to give some idea about it. So it isn't based on health equity, it isn't based on selling a building or whatever, it's based on in the ordinary course that's what I think will happen. It could easily be significantly more and obviously in some of it might not happen as we expect to go low for a while we've been able to do that.
Operator: Our next question is from Kai Pan with Morgan Stanley. Your line is open.
Kai Pan: Just to follow on Mike's question on the $100 million year about the realized gains. I just wonder like how much is that your current like value market value versus [indiscernible], I just wonder how long could that $100 million year last?
Robert Berkley: A long time.
Kai Pan: And then on the hiring of the new team, I just wonder what do you see -- do see more opportunity in that front basically hiring more team?
Robert Berkley: Which new team -- you know we did six last year and we've done one this year so which one were you referring to and--
Kai Pan: Not specific team, I just wonder are there more other opportunities out there I just wonder--
Robert Berkley: I think the answer is in some ways the period that we're going through now is somewhat reminiscent of 2008, 2009, 2010 for different reasons and that is there is a lot of dislocation in the market, there are a lot of people or large organizations that for one reason or another are a very inwardly focused and that creates opportunity for organizations like ours to try and continue to find opportunities and to build and enhance the value of our franchise for our shareholders both organically through expanding our existing businesses as well as starting new operations. I think ultimately we're optimistic that we will be able to find other opportunities but I think you'll probably hear about them if and when we find them and start them when we do press releases about them.
Kai Pan: So would that have sort of any near term impact meaningful impact on your expense ratio?
Robert Berkley: I think that certainly it will have some impact, but do I think it's going to be earth shattering? No. I don't. As gene suggested earlier, at this stage, the expense ratio that we reported in the quarter was impacted to the tune of I guess 20 basis points I think it was in the quarter. So some of the things that we're looking at, some of the things that we’ve announced you can get up and running very quickly and the earned premium will start showing up relatively quickly. There are other things that it takes time to build and it takes time for the earned premium to show up. So will there be an impact, yes. Will it be overwhelming, no, I think we're quite confident that is manageable.
Kai Pan: So still the expense ratio will stay or going down from the second half '15 levels or probably stay the same in the near future?
Robert Berkley: I think since we don't know for sure what the opportunities will be tomorrow or what the opportunities are that quite frankly are even some of the things that we're working on that we can't talk about, it would be wrong for us to try and nail things down two basis points for you. Obviously we're conscious of our expense ratio we're conscious of being efficient, at the same time our goal is to create long term value for our shareholders and if there's an opportunity for us to invest in the short term we take a step back with the expense ratio but we think we will deliver long term value for the shareholders. We're prepared to do that in a controlled way.
Kai Pan: Okay. In terms of where you see like a big growth [ph] say in the Worker's Compensation more than 20% year-over-year and on the other lines like commercial auto where people love seen some price increase probably not still like you still [indiscernible] unattractive that -- contract business -- could you talk about these two lines in particular why you see opportunity in one versus the other?
Robert Berkley: So I think it's very important that one not paint with too broad of a brush. So let's use Worker's Compensation as an example. It varies very much by account size and it varies very much by region. So there are parts of the Worker's Compensation space that we find exceptionally attractive and we would like to take full advantage of those opportunities as long as they present themselves. There are parts of the auto space that have gotten meaningful rate increase and in spite of that, we do not think the rates are adequate. From our perspective, the marketplace overall as far as commercial auto offers niche opportunities where you can make a reasonable return and that is what we're focusing on. So the fact of the matter is when Gene talked about how that book has shrunk for us overall and he talked a little bit, if you look at the meaningful rate we are getting there, you put those two things together from an exposer perspective we're shrinking even more than it looks like because of the rate increases that we're getting. So that's sort of how we see it as far as getting more granular with you as to specifically where we see the micro niche opportunities and where we're trying to grow, I think that something that we will probably stop short of as far as getting into that level of detail because we're not looking to increase the crowd around the watering hole any quicker than will happen naturally.
Kai Pan: Last question, big picture Rob, you alluded to as growing tension between distribution and carrier, could you expand a little bit on that? Thank you so much
Robert Berkley: I will make a couple of comments and then I'm going to yield to my boss here who always is well -- he's a little less filtered than me so it seems to have an entertaining component to it. But our general observation is this, that the companies are trying to maintain or perhaps grow their margins, the distribution is trying to do the same thing. At the same time if you look at the insurance marketplace, rates are plateaued in all likelihood are gradually going to decrease and that creates tension and pressure and ultimately it would seem as though everyone is so focused on how they maintain their margins and how they keep the world happy every 90 days that is getting the way of distribution and carriers, finding ways to work together to bring more value to the customer. Because ultimately as technology evolves and customer behavior evolves over time, the master that we both have to please whose needs we both need to address is ultimately the insured. So that was the censored version and now you’re going to get the uncensored version.
Gene Ballard: The long and the short of the situation is the big picture is technology is moving to dis-intermediate the current distribution system to some extent. The fact is that that's a long term problem and at the same time as we're moving in that direction, the existing distribution system instead of working with companies to try and find ways to deliver value to the customer is more focused on how to improve their margins and at the same time insurance companies are faced with the need for more underwriting margin because their investment margins are declining. So you have a natural crisis. Everyone wants a bigger piece of a shrinking pie. And it's unfortunate that much of the distribution for at least the very largest agencies have decided to not just make a continuing non-reduction in their commission rates, but have tried to find ways to generate additional marginal commissions which come frankly directly at the expense of the final customer. They make it as though it seems to be an additional amount paid by the insurer. But if the insurer can afford to pay that additional amount, the amount really should go to the benefit of reduced cost to the insured. Somehow that seems to have escaped those large brokers. So ultimately, we have to serve the customer in an open and transparent way this intermediation accelerates.
Kai Pan: Where you find way -- I just follow on that where you find alternative distribution yourself?
Gene Ballard: I don't think that's what we're suggesting. We're just suggesting in the big picture, there's a challenge going forward and we all have to get on the same team to deliver value to the customer now. We're not -- we believe in the human participation and distribution, for the customer we continue to do that and we don't see any change in that method obviously just as in automobile insurance, there are various methods for getting direct and I'm sure for some small policies that will leave -- we're not rushing in that direction. We think everyone will ultimately be sensible and know we have to serve the best interest of the customer.
Operator: Our next question is from Vinay Misquith with Sterne, Agee. Your line is open.
Vinay Misquith: The first question is on growth and you seem to be pretty excited about the opportunities you have. And then I look at the numbers and they are up about 4% in the primary insurance operations, most of the growth is coming from workers comp, could you help me understand I mean are you pulling back on some lines and that's what's negatively impacting the overall growth for the company?
Robert Berkley: Look there are parts for the business that a growing as I suggested earlier and there are parts of the business that are shrinking and I think as we’ve shared with you in the past and others we're in business to make money not necessarily just to issue insurance policies for the sake of issuing insurance policies. We're in the market every day trying to provide product and provide continuity to the marketplace in our offering. Having said that ultimately if there are parts of the market that move away from our pricing then we're prepared to shrink. So yes, the answer is there are parts of our business that are shrinking right now, auto would be an example of that, again that's just the reality of operating in a cyclical business when you're focused on profitability and return.
Vinay Misquith: Then on the expense side, this quarter the underwriting expenses were about $505 million in total for the Company. Is that the run rate that we should be looking at for the future or do you think that's going to creep up if you make some new hires.
Vinay Misquith: I think that the expense ratio where it fits in the low-30s is not a bad expectation for people to have going forward. I don't think it would make sense for me to try and nail it down to the last hour dollar. Certainly we saw a meaningful opportunity to expand our business last year with the six new operations that we referenced and it takes time for those businesses to get up and running and even it takes a little bit longer for that earned premium to show up and for them to get to scale. And so Gene made the comment about the impact on the expense ratio for businesses that are two years old or less. Again in addition to that, we expect a meaningful investment that we will be making in the high net worth personal line space that does require infrastructure it does require investment and we think that it's a worthwhile investment for the shareholders that will yield meaningful returns over time. As far as other investment opportunities that will present themselves or that we're currently examining, it's hard to know for sure how that will play out but we think it is likely that it will be additional opportunities for us to expand our franchise and develop more value for shareholders. So do I think the expense ratio long story short can pick up between now and the end of the year? Yes, I think it's possible it will as we're investing in new opportunities and ultimately if we weren’t pursuing some of these new opportunities I think we would be doing the shareholders a disservice in the long run.
Vinay Misquith: And the last point was on the realized gains, so it seems that you guys, got about $25 million pretax of realized gains, is that correct and then was it offset in part by some TTI, so here's about the source of the $25 million of gains and also the $18 million of TTI.
Robert Berkley: So the gains were primarily in the fixed income arena.
Gene Ballard: Nondomestic fixed-income
Robert Berkley: That's right
Gene Ballard: And so TTI was a common stock that had been underwater for more than a year and we marked it down. Those are the rules. One of the problems with TTI is you get them mark them down but not mark them up, so if they are down for 12 months you mark them down but as they go up the next day it doesn’t matter.
Vinay Misquith: So for the $25 million of realized gains, that's from the sale of fixed income securities right? I mean that wasn't part of--
Robert Berkley: It's really more complicated than that. But it's not selling a core part of our portfolio, it is not from selling a core part of our portfolio
Vinay Misquith: Okay, so it's not part of the $100 million that you had said before, okay
Robert Berkley: No.
Operator: Our next question is from Jay Cohen with Bank of America Merrill Lynch. Your line is open.
Jay Cohen : Just one follow-up from an earlier question first, on the issue of this tension between carriers and intermediaries, I guess their view is while they are searching for higher revenue and higher-margin, they would suggest that they are providing value added services for those revenue. I suspect you wouldn’t fully agree with that but I wouldn’t mine your comment on it.
Robert Berkley: I don't think we're necessarily commenting on the value that they bring, we’re not questioning the value that they bring to their clients. We're merely suggesting that ultimately when the days all done, there is a bit of tension there. And in what seems to be looking like a softening insurance market, it is likely that that tension may increase over time and as my father reminds me and reminds others, that ultimately it's a partnerships. There are moments in time when the carriers are the senior partner and there are moments in time when the distribution is the senior partner, but ultimately in the long run for us all to survive one needs to be conscious of their obligation to their partnership and their need to survive as well.
Jay Cohen: Second question on the personalized business and I was certainly one of the people that took note of that investment. It sounds like you got the right person to run that business and clearly it's a good business to be and is proven by legacy [indiscernible] over many years, but it's also kind of sticky. And I would suspect this is going to take really quite a while for you to get enough scale for this to meaningfully impact your earnings or even positively impact your earnings, can we get a sense of the time, Rob that you're thinking about with this venture?
Robert Berkley: Well, at this stage Jay, we expect that the business will be operational sometime next year. Again back to the point earlier, it does require time to set up the infrastructure, amid a product so that takes time as well to get the filings etcetera and when is it that we will get to breakeven and to profitability, clearly our expectation that it will be measured in years but we think that it is a manageable period of time and again we believe deeply in the opportunity, we believe deeply in the people's ability to create the opportunity into a reality and create value for their shareholders. So my sense is that I'm not answering your question with the precision that you would like and quite frankly that's by design.
Operator: [Operator Instructions]. Our next question is from Ian Gutterman with Balyasny. Your line is open.
Ian Gutterman: I actually had a follow-up as well on the high net worth Rob, I think the challenge of that business is being able to compete on the cost side, meaning to be able to build up a sufficient claims operation and distribution infrastructure and especially given the high demand for a lot of those clients. Can you just talk about how without being -- obviously you’ve the same scale like some of the bigger players, do you think you can be competitive on a cost side of that?
Robert Berkley: I think it's going to take some time for us to get the critical mass where we're able to be as efficient as some others. Having said that we think over a reasonable period of time we will be to get enough scale that we're able to make a reasonable return and again that will take some time. As far as the details and the minutia of how we will be structured and how we will try and be efficient yet strike the balance between that and also providing the customer service, I think you're asking me to go a little bit deeper into the strategy and the business plan and I think it would really make sense for us to do on this call.
Ian Gutterman: If maybe I can try one of other way of asking this a little bit broader, is there some kind of technology play that you guys think you’ve by been new that you don’t have a lot of legacy cost that other people would have?
Robert Berkley: I think clearly any time someone is starting a new business, in a mature space and will be competing primarily against mature players that have a legacy, there are pluses and minuses. The fact of the matter is, we're in the process of putting together a team of people that are very knowledgeable about the subject matter but are very bright and are open-minded as to is there a better way to do what has been done in the past. So we're confident again that this will prove to be a very worthwhile venture for the shareholders. We think the team of people that will be managing the capital on behalf of the shareholders in this space are very seasoned and thoughtful and we're thoroughly convinced that this is a great opportunity to allow for value to be created for shareholders and increasing the franchise
Gene Ballard: In our history we started 45 companies, 44 of them are still running and they are either profitable or right on the edge of profitability we have had a pretty good record of being able to assess what it takes to do this. And the person who has led most of that is Rob and I can assure you that he's not the only one who's confident. So is everybody else who's been involved.
Ian Gutterman: In sounds very promising, I was hoping to learn more. The other I wanted to ask about was I think in the last year or two you’ve grown your Florida homeowners reinsurance a good amount, the cat exposure in your reinsurance book--
Robert Berkley: Hold on one second, we need to create a little bit of a distinction there. So first of all yes we have grown our Florida homeowners product and this is through our reinsurance, having said that, there are meaningful event caps and significant exclusions as far as coverage when it comes to natural catastrophes. So I think that while there is a modest amount of cat exposure that comes with it, I would encourage you to think of that less as a cat play. I know that - it shows up in the yellow books and in other filings where it could be misinterpreted so hopefully we been able to rectify the understanding.
Ian Gutterman: No that's great, what I was going to ask is something a little bit in between which is I believe a lot of is quota share which also limits some of the exposure but I was wondering in Florida it seems there's an issue that has up about the last year so this assignment of benefits that’s causing trouble for a lot of the primaries. So I was wondering if that's something you would have some risk for as a quota share to them and not as big as a cat obviously but is that something that you're concerned about?
Robert Berkley: It's certainly not something that we're particularly preoccupied with. We’re familiar with the situation but we don't think it's an overwhelming concern for us and our willingness to continue
Ian Gutterman: And just one numbers question for Gene, about the pay loss ratio
Gene Ballard: 52% compared to 515, a year ago, very favorable
Operator: Thank you. And I'm not showing any further questions at this time. I'll now turn the call back over to Mr. Berkley for closing remarks.
Robert Berkley: Okay. Thank you, Bridget and thank you all for calling and joining for us the discussion today. From our perspective as I've referenced earlier this is a bit of a unique moment for our organization and perhaps others to take advantage of some of the dislocation that I think we're acutely aware of that exists in the marketplace today. It's somewhat of a unique moment and some way's for different reason. We've gotten to this place where there's massive dislocation not dissimilar to sort of 2008 and 2009 and we have been able to take advantage of that. In addition to that I think our approach to risk-adjusted return and how we think about volatility and getting paid appropriately in part was demonstrated in our cat results in the quarter and hopefully that does not go unnoticed. So as we look out for the balance of '16, while perhaps there are parts of the market that are challenging and more challenging today than they were yesterday, we still see meaningful opportunity to grow our business in a sensible way and continue to enhance value for shareholders. So again thank you very much for tuning in and we will talk to in 90 days. Bye.
Operator: Ladies and gentlemen, this does conclude the program and you may all disconnect. Everyone have a great day.